Operator: Good day ladies and gentlemen and welcome to the fourth quarter 2007 Gulfport Energy Corporation earnings conference call. (Operator Instructions) I would now like to turn the presentation over to your host for today's call, Mr. John Kilgallon, Director of investor relations. Please proceed.
John Kilgallon: Good morning and welcome to the Gulfport Energy 2007 earnings conference call. With me today are Mike Liddell, Chairman of the Board; Jim Palm, Chief Executive Officer; and Mike Moore, Chief Financial Officer. For the company may be a third looking statements relating to the company's financial condition, results of operations, plans, objectives, and future performances. We caution you that actual results may differ materially then we indicated in our forward-looking statements. Information concerning these factors can be found in the company's filings with the SEC. In addition we may make reference to non-GAAP financial measures. If it occurs appropriate reconciliation to the GAAP measures will be posted to our website promptly. Before we begin, I'd like to make note, Gulfport did post to its website this morning a presentation in conjunction with this call this morning. Please review it at your leisure. Now like to turn the call over to Mike Moore.
Mike Moore: Thanks John. Thank you for joining us for our call. For the fourth quarter, Gulfport reported net income of $8.2 million or $.21 per diluted share based on average diluted shares outstanding 39.6 million. For the year Gulfport’s net income was $37.8 million, or $1.01 per diluted share which is a $.19 per share increase when compared to full year 2006. EBITDA for the quarter was $19.1 million. EBITDA for the full year was $71.2 million which was an increase of 66% compared to 2006. Operating cash flow before changes in working capital was $18.5 million for the quarter and $69.3 million for the full-year 2007. For the fourth quarter production was approximately 433,000 barrels of oil equivalent, or 4,703 barrels a day. For the year, production totaled 1.64 million BOE’s or 485 BOE’s per day, an increase of 67% compared to 983,000 BOE’s in 2006. Fourth quarter realized price for oil, after the effects of hedging, was $74.66 per barrel. Average realized price for gas was $7.19 per MCF. Base operating expense for the quarter was $5.5 million or $12.81 per BOE. LOE for the year was $16.7 million or $10.18 per BOE. For the quarter G&A was $2.4 million or $5.49 per BOE and for the full year G&A $5.8 million or $3.54 per BOE. DD&A was $29.7 million or $18.13 per BOE. CapEx for the year, including Canada was approximately $237 million. The company had $59 million drawn against its revolving credit facility at year end. Debt per proved reserve at year end was $243 per barrel. As of March 10, the current balance on the revolver was approximately $70 million with an additional $20 million available under the $90 million facility. Total proved reserves were 25.1 million barrels of oil and 24.2 billion cubic feet of natural gas, or 29.2 million BOE’s at December 31, 2007. This compares with 23.2 million BOE’s of proved reserve at December 31, 2006. The company's total expenditures for finding, developing and acquiring in 2007 were $209 million. A detailed table is available of reserves and total cost incurred at the end of today’s press release. Oil and gas is $92.50 and $6.80 before adjustments. Our Pv10 value at the end of 2007 was $821 million. This is an increase of $422 million, more than doubling the value from 2006. Now I’d like to turn the call over to Jim to cover our operational highlights. Jim.
James Palm: Thanks Mike. Our objective in 2008 is to live within our operational cash flow and to deploy our capital over where we can get the greatest return on investment. Returns in the Bakken and the Permian are more compelling; we plan to moderate our activity in South Louisiana. We expect to be able to drill all these opportunities with available cash flow and existing credit facilities and look forward to steady growth of both production and reserves in 2008. Now let’s look at West Cote specifically. We drilled 26 wells in our West Cote field. Twenty-two wells were productive for a success rate of 85%. We expected more than that and we were disappointed in the quality of the wells we drilled. The disappointing results were due to increased activity and we thus plan to return to historical levels. We plan to fill a 10 to 12 well program which we expect will keep production flat. We should bring a rig back to the filed in late July to early August timeframe. Now let’s move to Hackberry. In 2007 we drilled 12 wells at Hackberry and we were disappointed with the exploratory results from this drilling activity. We did have success with two of the three wells dug on land but the results in the like were disappointing. In 2008, we plan to drill four to six wells on land. Now to the Permian, in December, we closed the largest acquisition in the company’s history. Adding production, and multiple year low risk drilling inventory with wells expected to generate up to 80% internal rate of return at Permstrip prices. Our focus for 2008 is to ramp up drilling and production here. Permian is the most attractive place for Gulfport to put meaningful capital to work in 2008. We will produce roughly 550 barrels of oil equivalent per day, at an average for the first quarter. Gulfport and its partner currently have one rig in the field and just recently completed drilling our first well. We are tracking the well today. We expect to add two additional rigs in the field soon. Gulfport expects to drill 17 to 22 net wells in 2008. We expect gross drilling and completion costs of $1.7 million per well. We estimate CapEx to be roughly $35 million in 2008. And now to the Bakken, in our opinion the Bakken represents one of the hottest plays in North America and provides very attractive returns. Let me emphasize that this play is just in its infancy for Gulfport. Most of our spending will be in the second half of 2008. Material impact will be in 2009 and later when spending ramps up. That said, it is an oil play and has seen a dramatic increase in activity in the last six months. Gulfport has 14,000 net acres in the play and is participating in 17 unoperated gross wells; eight producers include three wells that IT’d over 2,000 barrels of oil equivalent a day. Internal rate of return at the current strip prices for Bakken wells is expected to be up to 100%. We have an ongoing pipeline of additional leases that we expect will add to Gulfport net acreage position during 2008. Estimated net CapEx is approximately $10 million for 2008. AFE typically range from $5.5 million to $7 million completed well cost and net reserves for some of the better wells are estimated by the operator at 700,000 plus BOE per well. Because the majority of Gulfport’s capital spending will occur in the second half of 2008, Gulfport will see production volumes ramp up in late 2008 and into 2009 in the Bakken. And now Canada, Gulfport has 127,942 net acres in the Alberta Oil Sands play. Gulfport and its partners are currently conducting their second winter core hole drilling evaluating programs in Alberta. Drilling this year has centered around Algar Lake, SilverTip, Birchwood, and Thickwood Hills project areas. Preliminary data collected this season at the Algar Lake project area is indicated a possible extension to the west of the project. Algar Lake we are currently conducting a 7.5 square mile, 3-D seismic survey. We expect to file an application to permit a 10,000 barrel a day SAGD facility later in 2008 at Algar Lake. Initial facility design, reservoir simulation, and environmental and ground water studies are already underway as a prelude to the applications process. This is the first season of evaluation for Birchwood and Thickwood Hills. These are possible future SAGD project sites. Initial results are encouraging and further core hole drilling on these properties is likely for next year. At the SilverTip area we further prove SAGD potential. Within three miles of our lease borders, 657 permitted well locations were filed by other oil sands operators for the 2007, 2008 winter drilling season. Last year, 232 core hole wells were drilled by other operators within this distance of our borders. This industry well data becomes publicly available one year after drilling. Those offsets to our acreage will help determine resource potential and resource trends that extend onto our acreage. Gulfport estimates CapEx in the Canadian Oils Sands to be roughly $10 million in 2008. We expect a third party capital raise for these assets to occur in 2008. And now let’s move to guidance. Gulfport’s 2008 production guidance is estimated at 1.9 million to 2.1 million barrels oil equivalent. We estimate EBITDA for the year based on current oil and gas strip pricing to be $110 million to $120 million. Capital Expenditures are estimated at approximately $95 million prior to any new acreage or asset acquisition. Operationally, Gulfport plans to drill between 10 to 12 new wells at West cote. We plan to drill four to six new wells at Hackberry. In Southern Louisiana we plan to spend roughly $40 million. In the Permian, Gulfport plans to drill 17 to 22 net wells and spend roughly $35 million. We plan to spend roughly $10 million in out Bakken and roughly $10 million in Canada. Our production and our capital expenditure will be back-end loaded. Our production guidance is based upon the approximately $95 million estimate and any new acreage or asset package acquisitions would be incremental. Lease operating expense is projected to be in the range of $9 to $10 per BOE for 2008. G&A expenses are estimated to be between $3 and $4 per BOE for 2008. We expect production for the first quarter to be in the range of 4600 to 4800 BOE per day for the quarter. In closing, we are pleased to have a number of high quality areas in which to invest our capital. West Cote and Hackberry provide free cash flow and help fund higher return projects. Permian and Bakken provide the higher expected internal rate of return in areas with a large bank of oil in play. Longer term, Grizzly is expected to provide significant growth for the company. We will continue to allocate our capital so we get the best return on our investment. We have great expectations for each of these areas. I expect 2008 to be a year of steady production and reserve growth accomplished while living within our cash flow from operations. Now back to John.
John Kilgallon: Thanks Jim. I believe at this time we’re ready for the Q&A session to begin.
Operator: Your first question comes from the line of Mr. David Adams with Jefferies and Co.
David Adams – Jefferies & Co: Hi guys, a couple of modeling questions here. How many work-overs do you expect to complete in HackBerry, or I mean West Cote over the course of 2008?
James Palm: In Hackberry we currently have four recompletions scheduled. West Cote, 44.
David Adams – Jefferies & Co: Forty-four okay. The wells that you are planning on drilling at West Cote and Hackberry in the second half of the year, are those primarily puds, or would they be more low risk, exploration in nature.
James Palm: Well we really haven’t decided at--
John Kilgallon: West Cote yet. We won’t start drilling there until July. It will probably be a typical mix of puds and exploration.
David Adams – Jefferies & Co: That’s all I had. Thanks guys.
Operator: Your next question comes from the line of Mr. Robert Lynd with Simmons and Company International.
Robert Lynd - Simmons & Company International: Hey guys just wanted to dig a little deeper at West Cote. Jim, you mentioned that you’re acceleration kind of got you guys into some problems. Can you help us out with a little more detail, on what you found out or what the problems were?
James Palm: Well I think the main thing is we have been at too big a pace for our staff to keep up with it. It’s really a complex field as you know, has lots of oil in place, still has lots of oil in place, we just didn’t get the results this year that we’ve gotten in previous years, so wit the capital constraints that we’ve got we’re going to drill everything that we can, but it will be a reduced pace and that will give us time for our staff to catch up a little bit.
Robert Lynd - Simmons & Company International: So, the temporary halt in drilling now is just to steady, rest up now and then hit it in July or June?
James Palm: It’s primarily a capital allocations thing. We’ve got so much cash that we think will be available for cash flow, we’re going to drill within that. Permian is our best place to put meaningful capital to work this year so we’re going there first. Then you take out Grizzly and Bakken and we’re taking everything else we have and putting it in South Louisiana. First place we’re going to go is land locations, over at Hackberry where we have had some success.
John Kilgallon: What’s left is what we’re going to be able to drill over at West Cote.
Robert Lynd - Simmons & Company International: Couple more questions on West Cote if I may. Did you book any attic oil locations at West Cote?
John Kilgallon: Any attic oil locations?
Robert Lynd - Simmons & Company International: Yeah
John Kilgallon: Not really, nothing classified as that, no. I mean, a lot of our puds are attic oil.
Robert Lynd - Simmons & Company International: Right, so you do have attic oil. The puds are attic oil, I wasn’t aware that you had any attic oil on the books. Can you give us an idea of what that inventory looks like, in terms of future locations?
James Palm: We’ve still got well over 100 pud locations at West Cote and Hackberry.
Robert Lynd - Simmons & Company International: Thanks that’s all I had.
Operator: Your next question comes from the line of Mr. Ron Mills with Gulfport Energy Corporation. Please proceed.
Ronald Mills - Johnson Rice & Company L.L.C.: Good morning gentlemen, this is actually Welles Fitzpatrick in for Ron. A quick question about Permian, they’re expected rigged by April or May, how quickly and to what extent should we see production volumes ramping up?
John Kilgallon: It takes about, no less than one month to drill a well, then when you track your well, with the way we model it, we ramp our way up to 100 barrels a day over the next three months. We float it a while, pump it a while, so it takes about 4 months after spud before you get to that maximum and then it goes into decline after that.
Ronald Mills - Johnson Rice & Company L.L.C.: If you don’t mind if I can ask another one, what’s your alls current production? And if you could break that up by area I would greatly appreciate it.
John Kilgallon: We’ve got about 4,000 dead at West Cote, about 600 at Permian.
James Palm: I’ll tell you what we had today, we’ve been ramping up and so the best thing is what our morning report shows. This is net to Gulfport. West Cote today was a net of 3,981 BOE, if we go to total Louisiana, which includes Hackberry it was 4,721. The Texas properties today were 579 BOE for a total of 5,300 net to Gulfport. That’s today’s figures so far, report we do every morning.
Ronald Mills - Johnson Rice & Company L.L.C.: Thanks so much, I appreciate it.
Operator: Your next question comes from the line of Brett Knisick with Springbook Capital.
Brett Knisick - Springbook Capital: Good Afternoon.
Brett Knisick - Springbook Capital: Hi. Can you just help me understand, you talked about 5300 being today’s production level and the difference between that and where you were through the press release on March 10th, that would be helpful.
John Kilgallon: Earlier in the year, in January and late in the year in December, it seemed like we were in kind of a low there. You know, you always have some wells that are coming and going, some water cuts that are increased; we were down a little bit through that area had a few problems with cold weather but we’ve been ramping it up since then. It’s just through recompletions and Permian basin, getting our people out there. We’ve had pump changes, a lot of deferred maintenance and we’ve been attacking that problem so it’s just been hard work.
James Palm: As well Brent, we also have production from Hackberry the two good producers in that field were taken down during the first quarter to do some work-over work on them, so now they’re back in full capacity so obviously we’ve seen a bump in the current numbers.
Brett Knisick - Springbook Capital: So you expect 5300 to be kind of the number to build from going forward?
James Palm: That’s pretty much where we are now and we’re going to keep increasing it.
Brett Knisick - Springbook Capita: Can you also just talk about the Canadian Oil Sands? I know you plan on going out for a capital raise; can you just kind of remind us what is the amount of capital needing to be raised? Obviously you attempted to this during the fall last year, what maybe has changed or why you think the evaluation can be achieved, kind of your thoughts around that would be helpful.
James Palm: Brett let me remind you that we really aren’t going to have meaningful needs until more like 2009, 2010. If you look at one facility, the first SAGD facility that’s about $325 million so our share of it’s about $80 million and most of that will kick in in those two years. So in the short term we really don’t have a lot of needs, we’re kind of flexible on when we do go for a raise. We’ll wait until the market conditions are right and hen we’ll do it.
Operator: You have no further questions at his time sir.
John Kilgallon: Great, thank you. The replay of this call will be available on the company’s website and certainly can be accessed at GulfportEnerrgy.com. Thank you for your interest in this call this morning and please let us know if you have any follow up today. Thank you. This concludes our call.